Operator: Good day, ladies and gentlemen, and welcome to the ASUR First Quarter 2015 Results Conference Call. My name is Shelly, and I'll be your operator. [Operator Instructions] As a reminder, today's call is being recorded.
 For opening remarks and introductions, I'd like to turn the call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed, sir. 
Adolfo Castro Rivas: Thank you, Shelly, and good morning, everybody. Thank you for joining us today for our conference call to discuss our first quarter 2015 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our company's control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange.
 As usual, I'll start by reviewing operations at San Juan Puerto Rico International Airport. And afterwards, briefly discuss the results of the quarter. Passenger traffic at San Juan Airport increased 1% year-on-year to 2.2 million. Our first quarter results benefited from MXN 32.53 million equity gain from ASUR's equity participation in Aerostar and a MXN 58.1 million gain in stockholders' equity from depreciation of the dollar against the peso during the period.
 In terms of the infrastructure at San Juan Airport, as anticipated, last March, we began the complete remodeling of Terminal C and expect to finalize this process 1 year from now. At the moment, this space is closed for remodeling, which as I had mentioned before, will include fully renewing of the commercial offering and redesigning traffic flow.
 In terms of ASUR's Mexican operations, we have a very good start of the year, with passenger traffic showing a very strong performance, up by 12.4% year-on-year to 6.6 million passengers, a record high for ASUR. International traffic reached an all-time high this quarter, while domestic traffic was the highest for this quarter. Let me highlight that passenger traffic benefited from the positive impact of the Easter holidays of this year. Holy Week began on March 27.
 One year ago, it only started on April 11. As a result, traffic this quarter was not fully comparable with the first quarter 2014. Also remember that the first quarter is always seasonally higher than the year. Domestic traffic continue to perform, with all our airports reporting year-on-year traffic growth, with Cancun posting a 14.5% increase. Here, we continue to see airlines starting capacity or going point-to-point and increasing connectivity between the different cities in Mexico.
 The combination of increased capacity, higher traffic from and to Mexico's city airports and lower fuel prices even after considering the effect of the depreciation of the peso is clearly contributing to more competitive airfares. International traffic remains strong, supported by the attractive valuation of the peso against the U.S. dollar, with the U.S. traffic particularly strong this quarter. Some of the regions, however, have been affected. For example, we have lost the passenger traffic we used to get from Russia, which represented around 0.5% of the total traffic in 2014.
 Actually, passenger traffic between Mexico, Canada and the United States represented 87.8% of the total traffic compared with the 87.2% a year ago.
 So while we have started the year with strong traffic, we believe the growth rates we're seeing today are very high and remain cautious in terms of passenger traffic trends going forward.
 Moving on to the income statement. Total revenue, excluding the 816% increase in revenue from construction services, rose 17.7% compared to the first quarter 2014. We also reported a better performance in commercial revenue per passenger, which were up 6% year-on-year, reaching MXN 82.6, a record-high at ASUR. The external airport  from all participants on this matter get results for the quarter. Look at our cost base. Operating cost and expenses, excluding the increase in cost, in construction cost, were up 9.9%, well below revenue growth.
 As a result, EBITDA increased 20.1% year-on-year to MXN 1.14 billion. As we continue to leverage our highly fixed cost base, in fact, adjusted EBITDA margin, excluding the impact from construction revenue, rose 150 basis points to 73 -- 71.3% from 69.8% in first quarter 2014.
 Results, however, were affected by a noncash foreign exchange loss of MXN 35.2 million. In the quarter, resulting from the impact of the 3.55% depreciation of the peso from our foreign currency net liability position. Capital expenditures for the quarter totaled MXN 154 million, which was invested mainly in the expansion of Terminal 3, our main project to date. During the second quarter, we will perform the bidding process to find a contractor to begin the construction of Terminal 4, which we expect to conclude by December 2017.
 Finally, we maintain a healthy balance sheet with cash and cash equivalents of MXN 3.7 billion pesos and bank debt of MXN 3.3 billion at the close of the quarter.
 Now let me open the floor for questions. Operator, please go ahead. 
Operator: [Operator Instructions] We'll take our first question from Ravi Jain with HSBC. 
Ravi Jain: Two quick questions. One on the operational side, the nonaeronautical revenue per passenger was pretty strong, up around 5% to 6%. What would the main drivers be? Would it be more recurring? Should we assume, let's say, a stronger than historical last 2 years growth in nonaeronautical per passenger before the Terminal 4 of Cancun comes in? And the second question is related to what we are seeing in OMA, where they have their Annual General Meeting today and the shareholders are going to vote on renewal or nonrenewal of the technical assistance agreement, given that Aberdeen is also a large shareholder of ASUR, is that a possibility? What is your view on a possibility of them recommending a similar nonrenewal of technical assistance agreement and the collapse of the shares for ASUR, and when that could happen at the earliest, if they were decided to do that? 
Adolfo Castro Rivas: In terms of the strong commercial revenue per passenger, I have been saying that it's very hard for us to increase that because of the capacity problems we have at Cancun Airport. I have to say that we had meetings with all the operators, not just in Cancun but also in some other airports of the group, to pay attention to this situation and to make -- to ask them to make extraordinary efforts in order to be able to serve more, understand the passenger in the best way as possible, given the fact that passenger traffic growth -- that passenger traffic is growing significantly. The people that went there in Cancun for the Holy Week and the month of March, I can say that their experience was not nice because of the amount of people who were at the terminal buildings. But nevertheless, the extraordinary effort that all of these concessioners placed gave some good results, and that is why we are seeing the numbers growing again. In terms of the OMA, I cannot say and I cannot comment because I don't know the details of the operation of OMA. I don't know the details of how they manage their contract and what kind of relation they have with Aberdeen and what has Aberdeen has seen on this. So it's not for me to say, let's see -- let's wait and see what is the outcome of today's shareholders' meeting. 
Ravi Jain: And if I may, just a quick additional question would be on Puerto Rico. We saw a pretty strong equity income increase in Puerto Rico. Would that be more driven by an increase in nonaeronautical revenues or let's say an efficient cost structure or a combination of both? 
Adolfo Castro Rivas: Of course, it's a combination of both. But of course, I believe that most important portion has come from a better nonaeronautical commercial revenue. And also you have to consider that we closed Terminal 3 during the month of March. 
Operator: We'll take our next question from Stephen Trent with Citi. 
Stephen Trent: Just 1 or 2 for me. The first is with respect to overseas airport projects. I saw that you guys and I think Highstar were at least somewhat interested in the airport in Chile, and nothing happened. I saw also one of your competitors, looks like there was a purchase in the Caribbean Basin. And I'm wondering what's your view with respect to more potential projects like San Juan or are you just focusing domestically for the meantime? 
Adolfo Castro Rivas: In the case of Chile, we were in -- we were -- we participated in the bidding process of this airport. The offers had to be presented December 30 last year. We didn't present an offer because at the end, we consider that the documents were not appropriate and the theme[ph] the government choose was not what we consider the best one. So that's why at the end, we didn't present an offer for this airport. What you are saying is because we have acquired the participation of a company that was owned by Aberdeen. And inside this company, there was a participation in the airport of Chile. But the participation they have on this airport is the old construction agreement or the old, in fact, construction agreement that would be due September 30 this year. So the participation they have in this airport is almost to expire. If we are seeing some of the projects outside Mexico, of course, we are seeing the projects outside Mexico. We have requested bidding documents with 1 airport this week. And we will analyze the documents and we will see if we decide to present an offer or not. In that sense, what I can say to you is that we are trying to see all the projects that come in line or that are public. 
Stephen Trent: Okay. Great. Very helpful. And just 1 follow-up question from, I believe, Ravi, with respect to commercial revenue per passenger in 1Q. You gave helpful color on pushing these -- your tenants and on a slightly apples-to-oranges comps from the early Easter. Can you boil down or is it possible to boil down to what extent some of that growth came from the expansion of new stores? In other words, what portion of it was kind of a same-store sales basis growth? 
Adolfo Castro Rivas: Well, there were some new stores. I will not say new stores incomplete, but new spaces that were used for commercial purposes, a piece of the additional commercial revenue comes from here. But remember that we see these not on a per square meter basis. For us, the most important part of our commercial revenue has to do with sales. So the change we saw this quarter against last quarter -- first quarter last year was in reality  sales, it was not square meter. So basically the airport is coming from the concessioners and they were able to sell more even with the very hard conditions they have from space perspective, in terms of the amount of passengers that are passing through terminals. 
Operator: We'll take our next question from Jean Bruny with BBVA. 
Jean Bruny: I just have a couple of questions actually. The first one is, we have seen a very strong EBITDA margin in the first quarter. You always stated that it was the strongest quarter of the year. So it's not like a surprise. But just wondering if the EBITDA margin will be sustainable at that level or if you can expect some kind of erosion throughout the years? And that's my first question. And the second question is, if you can give us some more color on the CapEx investments? You invested only 6% of the committed CapEx for the full year in the first quarter. Where can we expect the CapEx to peak during the year? That's actually my last question. 
Adolfo Castro Rivas: Thank you for your words. The EBITDA margin, the first quarter is highest of the fourth -- of the year, so that is why when you have more passengers in a company, it has most of its cost feet, even have the highest EBITDA margin of the year. If this is sustainable or not has to do with the passenger traffic level. As I have said before or during the remarks, the numbers we are seeing today, the 12.4%, is extremely high. I don't expect this to continue through the entire year. But nevertheless, having this 12.4% during the first quarter, which is the most important, if nothing externally happens, we will not see a year with less than 8% growth. And of course, margins will be according to this, and so that's what I can say. In the case of CapEx, yes, as always, we have started the year in a very low compared with the commitment that we have for the year. The commitment we have is almost MXN 3 billion. And most of this has to do with 2 specific projects, one is Terminal 4 and the other one is Terminal 3. Terminal 3 has to be concluded by the end of this year. We're expecting to inaugurate the expansion during the month of December, so there is no question about it that we will have to perform in that matter. In the case of Terminal 4, the most important amount in terms of money has to do with the down payment for the contractor. So I should expect to see a high increase in the amount of investment during the third and fourth quarter of the year for this specific reason. 
Operator: [Operator Instructions] We'll take our next question from Pablo Zaldivar with GBM. 
Pablo Zaldivar: I just have a couple of questions. The first one, could you give us a little bit of insight on the increment we saw on costs during the quarter, specifically on administrative costs? 
Adolfo Castro Rivas: Is that the only question? 
Pablo Zaldivar: And the other question, could you give us a bit of the outlook of passengers we have for Cancun for the rest of the year? I know you said that during the first quarter, the airport was saturated, but what would -- what should we expect going forward? 
Adolfo Castro Rivas: Okay. In terms of administrative costs, the most important effect we saw was -- we have 2 effects. One was something that happened during 2014, that was the cancellation of a provision in terms of the payment for the Master Development Plan process. That was around MXN 5 million. And the second one has to do with the change in the tax in the Mexican tax law for the contribution -- social contributions to the employees. Those were basically the 2 main effects in increasing the cost, the administrative cost. For the future, the first one, that has to do with the cancellation of 2014, it's one-time event. And the other one, we'll continue because I do not expect that Mexican authorities will change its tax law. In terms of the passengers of Cancun, it's important to say that the airport of Cancun is not today a restriction to receive more passengers. When we are saying that the capacity of the terminal buildings has been reached, this has to do with the level of service. It's not that we cannot receive more passengers of the ones that we're receiving to date. This basically represents that a passenger at certain moments of the year will not find the service or the level of service that they have to receive in accordance with the standard that we have. So this is very important because that doesn't  mean that we cannot receive more. In fact, we are receiving more and the airport is growing as you have seen in the figures. 
Operator: We'll take our next question from Renata Stuhlberger with Goldman Sachs. 
Renata Stuhlberger: Adolfo, this is Renata speaking. We've been talking a lot about the Cancun Airport capacity. And I was just wondering if you could comment a little bit on the Cancun and the Riviera Maya region overall tourist capacity to receive additional passengers since we've been looking a little at the numbers from hotel authorities and tourism authorities in Mexico, and it seems like the region is kind of reaching saturation levels. So if you could comment if you have been seeing some activity in increasing capacity, building more hotel rooms, that would help us a lot. 
Adolfo Castro Rivas: Thank you for your words. Well, in the case of Riviera Maya and Cancun, in terms of hotel rooms, I have said this before, in the sense that we are not seeing the same growth in hotel rooms as the one that we are seeing in passenger traffic. And this, in the medium- and long-term, is not sustainable. So we have to -- well, they have to recuperate the amount of hotel rooms in terms of -- in comparison with the passenger traffic growth. So in other words, if we see figures from last year, the passenger traffic growth was more than 11% and hotel rooms' growth was less than 3%. So again, this difference will create, in the future, some kind of problem. I absolutely agree with you in the sense that the load factors or occupancy factors that these hotel rooms are presenting are extremely high. So additional rooms should have to be constructed or should have to be in operation in order the passenger traffic could continue to grow. What I expect, and in accordance with the information that I have, the hotel rooms that will be open, so new hotel rooms that will be in operation this year, is around 6,000 hotel rooms. So this is not again the same 11% we're seeing in passenger traffic. It's important to say also that there are some other sources of hotel -- I will not say hotel rooms, I will say house rooms or people that are also staying in houses, and we are seeing an increase in housing -- in offers to receive people in houses. So this is another source of -- another way that the people can stay there for a night. So the combination of this is what we are seeing, a very strong passenger traffic growth and increase in occupancy rates. 
Operator: We'll take our next question from Neal Dihora with MorningStar. 
Neal Dihora: Just on Puerto Rico again. The income of MXN 32 million in the quarter, I mean, it seems -- or I guess the first question is, do you think that's more of a sustainable rate going forward? I know the last couple of years have seen ups and downs in different quarters. I guess, more importantly, what kind of margin do you think that airport is posting, maybe compared to the rest of the company. Maybe EBITDA, I guess, level would be good. 
Adolfo Castro Rivas: Well, basically in the case of San Juan, as in the case of the other airports we have in Mexico, it has its own seasonality. The ups and downs are related, first of all, with the seasonality and second, because the operation of this company is not yet normalized. So we're still in the construction process and in the adjustment or fine-tuning the operation of the company. If you remember, 2 years ago, when we started this project, basically, the project was to remodel the buildings and to end up operating this airport with less amount of square meters. These were 2 very clear objectives. One, to reduce operational cost and the other one, to increase the commercial revenue per passenger. This is something that we believe we're going to conclude by the third quarter next year. So as from the third quarter next year, we will -- we can say that we will have a normalized operation of the company. And the only thing that will remain will be the seasonality. So what we are seeing today, of course, is a better operation, a better commercial offer and, of course, a better commercial revenue per passenger. Once we conclude the expansion or the remodeling process in Terminal 3, and we can close finally the addition square meters that we're not using but that we have to maintain and secure and clean blah blah blah, we will have a better view on the numbers. 
Operator: [Operator Instructions] And we will take our next question from Pablo Zaldivar with GBM. 
Pablo Zaldivar: I got kicked out of the conference. I don't know what happened. I don't know if you could tell me again, what's the passenger outlook for Cancun going forward because I couldn't get that because I got disconnected. 
Adolfo Castro Rivas: Well, Pablo, as I said before, the numbers that we are seeing today are extremely high. It's hard to say if this will continue during the remaining of the year. We have a very strong effect from the peso devaluation against the dollar in terms of the U.S. traffic, as I said during the remarks, there are some of the regions that are down. We have lost all the passengers from Russia. I see the Spanish guys hopping up again. The Latin American guys growing really nice. So hard to say how this will end up during the year, but I will be cautious not using the same numbers we are seeing for the first quarter. 
Operator: [Operator Instructions] And there are no further questions in the queue. I would now like to turn the call back over to Mr. Adolfo Castro for any closing remarks. 
Adolfo Castro Rivas: Thank you, Shelly. Thank you, everybody, for joining today on the conference call. As always, do not hesitate to contact me if there is any further question. Also note that tomorrow, we're -- that today, we're holding our General Shareholders' Assembly, and we expect to publish the result of this probably at the end of today, maybe tomorrow morning. Thank you, everybody, and have a good day. Good bye. 
Operator: This does conclude today's presentation. We thank you, all, for your participation.